Operator: Abrupt start. Conference call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] And as a reminder, today's conference call is being recorded. I'd now like to turn the conference over to Gerry Gould, Vice President, Investor Relations. Please go ahead.
Gerry Gould: Thank you, good morning. Thank you for joining us for Haemonetics' first quarter fiscal '19 conference call and webcast. I'm joined today by Chris Simon, President and CEO; Bill Burke, CFO; and Chad Nikel, President of our Blood Center Business Unit. Please note that our remarks today will include forward-looking statements. Our actual results may differ materially from anticipated results. Additional information concerning factors that could cause results to differ materially is available in the Form 8-K we filed today and in our other periodic reports and filings we make with the SEC. This morning, we posted our first quarter results to our Investor Relations website. We included fiscal 2019 guidance and we posted two tables with information that we will refer to on this call. Those tables are pages two and three within the document entitled Analytical Tables and Supplemental Information to which we provided a link in our release. Today, Chris and Bill will discuss elements of our financial and business performance, trends in our served markets, our strategy, our Complexity Reduction Initiative and our fiscal year '19 guidance. Chad will discuss highlights within our Blood Center business. Then, we will take your questions. Before I turn the call over to Chris, I would like to mention the treatment in our adjusted results of certain items which by their nature and size affect the comparability of our financial results. Consistent with our past practice, we have excluded certain costs, charges, asset impairments, and income items from the adjusted financial results we'll talk about today. In the first quarters of fiscal 2019 and 2018, we excluded restructuring and turnaround charges, accelerated depreciation, deal-related amortization expense, asset impairment and related charges and a legal charge. In fiscal 2018 we excluded the gain we realized upon sale of our SEBRA line of benchtop and hand sealers. Finally, we excluded the tax effects of excluded items. Further details of first quarter fiscal 2019 excluded amounts including comparisons with the same period of fiscal 2018, are provided in our Form 8-K and have been posted to our Investor Relations website. Our press release and website also include a complete P&L and balance sheet and a summary statement of cash flows, as well as reconciliations of our reported and adjusted results. With that, I'd like to turn the call over to Chris.
Christopher Simon: Thanks, Gerry. Good morning and thank you for joining today's call. We are pleased with our start to fiscal 2019. Our performance in the first quarter is evidence on many dimensions that our plans are on track and our strategies to compete in attractive segments, achieve market leading positions and deliver superior performance are working. We are executing our multi-year turnaround and pivoting to accelerated growth. In the first quarter revenue grew nearly 9% as reported and more than 7% in constant currency. It was a global effort propelled by our two largest growth drivers; Plasma and TEG and sustained resilience of the Blood Center business in a challenged market. Adjusted earnings per share were $0.59 compared with $0.33 in the prior year's first quarter. Turning to our BU results, our customer focused structure is enabling teams to execute on our growth plans. Let's start with Plasma. We delivered revenue that was up 14% in the quarter driven largely by volume. Growth was widespread across multiple regions with U.S. contributing strong double-digit growth. Disposable kits and liquids both grew double-digits rising with increased overall collection volumes partially related to customer order timing. We anticipate continued collection volume growth and have been investing in our manufacturing capabilities to keep pace with market demand. We've recently increased our bowl, bottle and harness production capacity by about 10% and we will bring additional 50% disposable production capacity online in the second half of fiscal '19 to meet future demand. We also received FDA approval this quarter for an additional sodium citrate manufacturing line and for an additional sterilizer to support liquids growth. We are moving forward with the launch of NexSys PCS and NexLynk DMS, providing an integrated platform that also includes disposables, technical support and service. All four launch work streams, regulatory, contracting, device manufacturing, and center conversion are on track. The FDA clearances for the NexSys PCS have enabled us to engage in donor center experience programs with many of our customers. To date we have performed more than 50,000 NexSys plasma collections. There are several benefits of these programs. First, the donor center experience further pressure tests the device and its functionality. Second, we are learning together with customers how to modify their SOPs to expedite center conversions and technology adoption. Third, customers are able to experience the value proposition of the integrated system firsthand. Feedback from center staff, phlebotomists, and donors have been very positive about the increased yield, greater productivity, improved quality, and better overall donor experience. In parallel we are advancing negotiations with our customers and have signed several long-term NexSys contracts, one of which also included a competitive win back to NexLynk DMS. The new platform is performing fully as expected and that is reflected in our new customer agreements. We are proceeding with implementation and have placed more than 500 devices and a dozen center conversions with our first wave of customers. Donor center conversion is a complex process that requires lots of planning and coordination coupled with thorough preparation and swift skill for execution. A conversion typically involves 36 to 54 NexSys PCS devices. We offer customers the option to convert during the day or overnight. Our focus is on minimizing disruption to daily collections. In advance of the center conversion two to three customer technical support staff complete a three-day training program run by Haemonetics on device operations, preventive maintenance, and troubleshooting. Dedicated Haemonetics teams supplemented by external contractors work closely with these technicians throughout the installation. New devices are inspected and shipped to donor centers for installation. The conversion begins with the PCS to device decontamination removal. The old devices are packed for return and the container is used to ship the NexSys PCS. The new devices are assembled, customer configured with screen views, format, and data parameters, then tested, calibrated and staged for installation. Customer's technicians perform a verification process and update their systems. The NexSys PCS device is then ready for operation. In parallel, we are implementing network upgrades to our NexLynk DMS software where appropriate to create the optimal integrated plasma collection solution. Customer employees return to work the next day to a fully operational and converted NexSys enabled center. Final operator training is conducted immediately prior to reopening the center. It is early days, but this process is working well. In fact, on our first commercial go live with our new platform the customer had its largest volume day ever. We are confident in our ability to rollout the device seamlessly and we are wrapping up our center conversion capability. We have manufactured devices needed to meet all of our contracted customer demand and in anticipation of continued successful contracting we have engaged a second device manufacturer. In summary, our experience to date across all four launch work streams gives us confidence in our ability to deliver NexSys as planned. Moving to our hospital business, we started the year growing 6%. We believe our ongoing investments are creating real momentum as this is the first time the hospital BUs saw strong performance in both domestic and international markets. Hemostasis Management's 21% increase consists of 19% growth in the U.S. and 24% growth in international. TEG performance included robust disposable growth and increased TEG success capital sales. Our hospital business launched two product line extensions in the quarter. TEG Manager 4.0 our software solution with a new feature called the interpretation guidance module which gives clinicians easy access to test information and customize clinical alert messages and our Cell Saver connectivity solution that enables the transfer of blood salvage procedure and device data from Cell Saver Elite to a hospital's EMR system. We are continuing to invest in R&D to build evidence for our technologies and expand our product portfolio. Overall, we are encouraged by our performance in hospital and in critical elements of our tailored go-to-market strategies in key geographies are starting to take hold. Our product launches are propelling us forward and we are seeing robust global demand for capital and disposables. But we must continue to manage the bakeries and the resulting unevenness of our hospital customers' capital buying cycles. I'll now turn the call over to Chad Nikel who runs the Blood Center Business Unit. Chad was recently promoted to President in recognition of the progress his team is making to stabilize and improvement performance.
Chad Nikel: Thank you, Chris. Today I'd like to provide an update on the progress we have made in implementing our strategy of achieving stability within the Blood Center Business Unit, a goal that reflects the value it creates within Haemonetics and for our blood collector customers that we serve around the globe. In fiscal 2018 we completed the reorganization of our commercial and manufacturing teams. In the process we removed layers of management and today we have a flatter organization that is aligned with the business' role to be a stable and reliable asset for the company. We are closer to the technical aspects of the products we make and the market realities our customer face daily. Today, we have a richer understanding of the businesses fundamentals. We separate it and stabilize it and this clarity allowed us to optimize and simplify by reducing complexity and lowering our cost structure. First, in an effort to reduce complexity we embarked on an SKU reduction program. Starting with a baseline of more than 1300 products available for commercial sale, we now have a portfolio of 219 products with an eye towards further standardization without affecting our customers' operations. Next we have evaluated our commercial contracts of significance and made touch calls to reprice where it is necessary, certain business arrangements with suboptimal pricing that did not serve the best interests of our business and shareholders. These moves have results in heightened focus and in improved execution to shore up businesses that we value. One outcome is that we successfully negotiated the contract extension of our largest whole blood customer in North America. In our indirect markets we continue to make progress in optimizing our distribution network ensuring that we are working with the best partners in each market. We have also taken a hard look at how we supply product to these markets and the improvements we have made reduced excess and obsolete inventory by more than 80%. We also have more than 80% of our portfolio projects focused on efficiency gains, improvement cost of goods sold and the underlying quality of our products. Unfortunately, late in fiscal 2018 we had a recall of our Acrodose platelet pooling kits in North America caused by an issue at one of our suppliers. We remedied the issue with our kits and have returned to market. However, it highlights our ongoing need to be vigilant across our quality management programs and in this case enhance our supplier oversight. In May 2018 we entered into a long-term agreement for the continued supply of certain filter medias to further stabilize the business. This resulted in a decommissioning of some assets that are not in our plans going forward. This will allow our Fajardo, Puerto Rico site whose recovery in the aftermath of Hurricane Maria was exceptional to remain focused on producing best-in-class filters at favorable cost for the blood collection industry. We continue to make deliberate quality investments in the business that have both high returns and short payback periods. For example, the recent release of a double dose platelet protocol, our largest customer in Japan and the launch of our universal platelet protocol in China. These moves helped to slow the rate of decline and provide further stability in both our business and key customer relationships, by ensuring our best technology is available in these markets. Through these efforts we delivered revenue of $64 million in the first quarter of fiscal 2019 and continued to stabilize the decline year-over-year at minus 3%. While we benefited from work timing, this quarter's performance furthers our goal of mid-single-digit decline following a 7.5% decline rate in fiscal 2018 and a 14% decline in fiscal 2017. And now I'll turn it back over to Chris.
Christopher Simon: Thanks Chad. At the enterprise level we are focused on a few key areas that in addition to our product launches will support accelerate growth. Our complexity reduction initiative continues to be an important factor in reducing our cost base to free up resources to fund growth as we changed the way work and improve the efficiency of our processes. We are on track to deliver savings at an annual run rate of $80 million by the end of fiscal 2020 including a plan run rate in excess of $40 million exiting fiscal 19. Improving operating performance, product quality, and supply are critical to our growth. We have made progress in improving our operating efficiency but challenges remain. We are pleased to announce that Josep Llorens will join Haemonetics later this month as Senior Vice President, Global Manufacturing and Supply Chain. Jesep has led numerous turnarounds over his 30-year-career in Global Healthcare and consumer businesses and brings real depth across disposables, capital equipment, devices and software. As mentioned earlier, commercial excellence is a major contributor to our momentum. Given our confidence in our improving product quality and service delivery, we are challenging our sales teams globally to improve contracting excellence and command appropriate price premiums based on the value conveyed to our customers. We continue to support our accelerated growth plans with thoughtful capital allocation enabled by our recently announced debt refinancing, which ensures we have the resources and flexibility to invest to further drive growth. Investment is needed to accelerate product launches, fund our innovation agenda, and attract, develop, and retain talent. In closing we are well positioned heading into the second quarter. Our focus and our energy are driving execution. Therefore, we are affirming fiscal 2019 guidance. I'm confident in our team's capabilities and we remain committed to sustaining and building on our momentum. Thank you. Now I'll turn the call over to Bill.
William Burke: Thank you, Chris and good morning everyone. Please refer to the two tables we posted to our website with a link in our earnings release. We provided specific revenue and income dollar amount that derive certain percentages I will refer to in my comments. We reported 8.7% revenue growth in the first quarter of fiscal 2019 which included 150 basis points of growth attributable to favorable currency. All revenue growth rates I will discuss are in constant currency and on that basis we had 7.2% revenue growth. Strong results in our Plasma business continued as revenue grew 14% in the first quarter. North America Plasma accounts for about 80% of total plasma and in the first quarter grew 17.1% including 15.3% growth in disposables and strong performance in two much smaller product categories, software and liquid solutions. In plasma disposables we experienced customer order timing that contributed to growth rates higher than the historical or anticipated market growth rates. It is important to note that no incremental pricing benefits from NexSys was realized in the first quarter of fiscal 2019. Software revenue growth reflects the annualizing of the rollout of our NexLynk software to all plasma centers by our largest plasma customer within the past year. Liquid solutions revenue growth is due to a customer spot buy in an easy comparison with the low prior-year first quarter. We remain confident in the continued market growth underlying our commercial plasma collection business which continues to be driven by strong end market demand for plasma derived biopharmaceuticals. Hospital revenue grew 6.3% in the first quarter of fiscal 2019. We had price increases across our hospital business that provided modest benefit in the first quarter. These increases were anticipated in our guidance. Hemostasis Management grew 20.6% in the first quarter, a meaningful acceleration over the low teens growth achieved in fiscal year 2017 and 2018. This growth was broad based geographically including growth rates near or above 20% in TEG's key markets of North America, China and EMEA. Also of note, TEG 5000 and TEG 6s each had double-digit percentage revenue growth. Hemostasis Management is demonstrating the potential that validates the allocation of investment funding towards its growth. Cell processing revenue declined 2.8% in the first quarter of fiscal 2019. Excluding OrthoPAT disposables, our products commercialization will wend this fiscal year and has been communicated to our customers. Cell Processing revenue declined by 0.8% in the first quarter of fiscal 2019. Blood Center revenue declined 3.1% in the first quarter. While the comparison is against a particularly low prior-year period, this decline also demonstrated continued moderation following deeper declines in previous fiscal years. This decline included strategic assets from business mostly outside of the U.S. that no longer met our profitability objectives. All elements of our Blood Center business, whole blood, red cells, platelets, and equipment software and other had declined below 5% in the quarter. Adjusted gross margin in the first quarter was 47.2% up 370 basis points compared to the prior-year. Complexity reduction savings, costs related to liquid solution production delays in the prior year's first quarter, and favorable product mix, contributed to 230 basis points of gross margin expansion. Additionally, approximately 140 basis points were due to the benefit of favorable currency. Adjusted operating expenses increased $1.5 million or 2.2% compared with the first quarter of fiscal 2018. However, operating expenses as a percentage of revenue decreased by 190 basis points to 29.5% as we benefited from operating leverage. Productivity gains from complexity reduction initiatives yielded planned G&A cost reductions. Partly offsetting this benefit were planned investments aimed at accelerating future revenue growth including anticipated investment in R&D and SG&A. R&D spending was $1 million higher than in the first quarter of fiscal 2018. Increased stock-based compensation was mitigated in this quarter by open positions and certain one-time benefits. Additionally, we had an increase in freight expense resulting from increased revenue volumes and higher shipping rates. Adjusted operating margin of 17.8% was up 570 basis points compared to the first quarter of the prior year as the benefits of higher revenue, improved product mix, favorable currency and cost reductions from our Complexity Reduction Initiative outpaced investments and rising freight costs. Our income tax provision on adjusted earnings was 18% in the first quarter of fiscal ’19 significantly lower than the 27.9% in the first quarter of the prior year. This lower tax rate is due to the impact of recent U.S. tax reform and continued favorable geographic income mix. Additionally, we had nearly a 4 percentage point benefit in the first quarter of fiscal ’19 related to a recent high level of employee share vestings [ph] which were immediately deductible for tax purposes. First fiscal ’19 adjusted earnings per share of $0.59 compared to $0.33 in the prior year period. This $0.26 increase include benefits of about $0.07 from the lower tax rate and $0.05 from favorable currency. We believe that most of the tax rate and currency benefits as compared to prior year were unique to the first quarter. In the first quarter of fiscal ’19 we incurred asset impairments in accelerated depreciation costs totaling approximately $25 million including a $21 million asset impairment on the non-strategic product line in the Blood Center business as Chad noted. We also incurred approximately $3 million of restructuring in turnaround expenses in the first quarter of fiscal ’19. Cumulatively, including amounts incurred in fiscal ’18 we have incurred approximately $40 million of the $50 million to $60 million restructuring and turnaround expenses anticipated by our Complexity Reduction Initiative. These expenses, along with the impairments and accelerated depreciation were excluded from adjusted earnings. Free cash flow before restructuring and turnaround cost was $6 million in the first quarter of fiscal ’19 compared with $29 million in the first quarter of fiscal ’18. We had $30 million of greater cash investment inventory and capital expenditures in the first quarter of fiscal ’19 compared to the first quarter of fiscal ’18 including the production of NexSys PCS devices and the expansion of capacity for disposables in our Plasma business. During the first quarter of fiscal ’19 and the subsequent period through August 1, we completed an $80 million accelerated share repurchase under our $260 million authorization. As a result of this program and a previous $100 million repurchase we completed in May 2018, approximately 2.2 million of our common shares have been repurchased at an average cost of about $81 during the past six months. While the share repurchase program is addressing recent dilution further dilution from existing share based compensation programs is offsetting the benefit. During the first quarter of fiscal ’19 we completed and executed a new five-year credit agreement with our lenders that takes us through mid June 2023. The new financing provided for a $350 million term loan and a $350 million revolving loan. Interest is at LIBOR plus 1.13% to 1.75% depending on our leverage ratio an effective rate of 3.625% at the end of the quarter. We utilized proceeds from the new term loan to repay the then $254 million outstanding balance on our former debt and $94 million of net proceeds were received and became available to support the launch of our NexSys PCS device and for general corporate purposes. These new credit facilities enhance our strong financial profile and ease covenants. Combined with our strong cash flow, this refinancing enhances our ability to execute on our growth plans. We finished the first quarter fiscal ’19 with a $192 million of cash on hand, an increase of $12 million from fiscal '18 year end. Certainly the first quarter revenue growth of 7.2% and adjusted earnings of $0.59 per share caused us to consider raising fiscal ’19 guidance. We believe the first quarter was not reflective of full year expected results for the following reasons and so we are confirming our previously issued guidance. In the first quarter we experienced a higher growth rate in Plasma than historical or anticipated market growth rates for reasons I explained earlier. It's too early to have full confidence of only a single quarter as a data point, but we do acknowledge that the implied revenue growth rate in Plasma over the remaining nine months of fiscal ’19 would be lower than our full year guidance of 7% to 10%. We have also considered that our NexSys PCS and NexLynk commercialization is in a very early stage. We did not reach our full level of planned investments in the first quarter and we expect to increase investments in the remainder of the fiscal year and to achieve the anticipated spending levels originally communicated including open positions. We also expect the impact of rising freight and commodity costs to continue. In our Plasma business unit we will incur higher expenses in the remainder of this fiscal year than in the first quarter, as a result of the rollout of NexSys PCS devices as well as the collection, repositioning, and disposition of PCS two devices. Our guidance contemplates the initial deployment of NexSys PCS devices and related depreciation and rollout cost expenses. Our Hospital business also requires continued investment in operating expenses for the build out of our sales force and the expansion of clinical and health economics studies. Higher interest expense as a result of the debt refinancing and a higher tax rate are expected for the remainder of the year. Also we had a benefit from foreign exchange in the first quarter compared to the prior year which will not continue based on current foreign exchange rates. The recent U.S. and China trade tariffs had no impact in the first quarter, but may affect some of our hospital product sales in China later in this fiscal year. Based on these factors, we affirmed all elements of our revenue adjusted earnings and free cash flow guidance for fiscal year ’19. Our guidance for Plasma revenue growth firmed at 7% to 10% including 10% to 14% growth in North America. The ramp up of the commercial launch is expected to occur throughout the remainder of the fiscal year and its benefit to growth on an annualized basis will be much more pronounced in fiscal ’20. We affirm our expectations of 5% to 8% revenue growth in hospital in fiscal ’19 including double-digit growth in Hemostasis Management. Our fiscal ’19 guidance for Blood Center revenue is affirmed as a decline of 3% to 6%. We are anticipating continued modest declines in transfusion rates and single dose platelet collection trends. We are on track and affirm our expectation to realize $80 million of savings from our Complexity Reduction Initiatives and to reach a run rate in excess of $40 million at the end of the current fiscal year, as well as our intent to make significant investments supporting and enabling revenue growth acceleration and margin expansion as contemplated in our long term strategy. These investments represent approximately $0.40 to $0.50 of earnings per share and are funded with our complexity reduction savings. Additionally, increasing freight and other costs could mitigate the gross margin benefit of complexity reduction savings in fiscal ’19. We affirm our expectation for adjusted operating margin in the 16% to 18% range in fiscal ‘19 and our guidance for adjusted earnings per share in the range of $2 to $2.30. Capital expenditures are included in our fiscal ’19 cash flow projections at $150 million to $160 million up from $75 million in fiscal ’18 anticipating the completion of capacity expansions at Plasma manufacturing facilities to accommodate the next several years volume growth, as well as production of NexSys PCS devices. We affirm our fiscal ’19 adjusted free cash flow guidance before restructuring and turnaround costs of $25 million to $50 million. We appreciate you joining today and will now proceed to your questions.
Operator: [Operator Instructions] Our first question comes from Larry Solow of CJS Securities. Your line is now open.
Larry Solow: Great, thanks guys and congratulations on another great quarter. I just have two questions, one question on Plasma and then a follow up, just on the rapid growth in the quarter and I know you recalled that there was no contributions from the new NexSys PCS device. Anything in particular that drove the strength that it would sort of not want you to at least increase your outlook to sort of the higher end of the range or is it just the sense of conservatism there?.
Christopher Simon: Yes, Larry it’s Chris. I think it's more the latter. We look across each of our major customers. We have quite good historical data and there were certain aspects of the first quarter that were different than what we've experienced historically. Clearly they are all keen to collect as much plasma as possible to meet the demands for their end markets, but we saw some things in the first quarter that while they were outstanding we just can't make a call yet that they'll continue through the duration of the year.
Larry Solow: Okay and then just on a followup, I noticed on the accelerated depreciation I guess although you didn’t book any revenue I guess you began to depreciate some of those machines because they were placed during the quarter. I guess part of that question is, I guess that you can just confirm that and be I assume going forward since you had this accelerated depreciation was pulled out of your adjusted EPS it will I guess be pulled out going forward?
William Burke: So Larry, it’s Bill. Thanks for that question. On the accelerated depreciation that relates to the PCS 2 devices not the new device.
Larry Solow: Okay.
William Burke: So what happens is, if see as a single device, if the device is out there it originally had depreciation associated with it of seven years, let’s say two years has passed and it's five years remaining. We’ve made a determination that the remaining life on that particular device is only two years. So we’ve accelerated that three years of deprecation and we’ve taken the difference between that new depreciation and what the normal depreciation would have been if we left it deprecating at a seven-year life.
Larry Solow: Understood, so the deprecation in new PCS will not be, you will not pull that out, that will not be adjusted out?
William Burke: That’s part of the investment spending as we call it.
Larry Solow: Correct, got it. Great, thanks. I appreciate that clarification.
William Burke: And your part C of the question was about will we do it every quarter and the answer is yes.
Larry Solow: Right. Thanks.
Operator: Thank you. And our next question comes from Anthony Petrone of Jefferies. Your line is now open.
Anthony Petrone: Thanks. Congratulations on a good quarter. May be a couple on Plasma and one of restructuring, so maybe just Chris, you know spoke on customer purchases in the quarter ahead of schedule, but also strong volumes. So just trying to get a sense in a quarter, how much came from excess purchases in the quarter versus just volumes? And then a follow up there would be on NexSys, just trying to get a sense of the cadence of the rollout, you mentioned 500 systems already installed. I mean, what should we be expecting as it relates to the cadence of the rollout for the rest of the fiscal year? And then I’ll have a followup, thanks.
Christopher Simon: Yes, thanks Anthony. So on the first quarter we see that as all organic demand and we don't have any reason to believe that anybody was doing anything other than buying to meet their current growth expectations. There's a lot of the demand in the marketplace place right now and we're seeing all of our major customers rise to meet that challenge. So we think it was organic and consumed in the quarter. As Bill mentioned on the prepared remarks, there was no pricing associated with NexSys in the quarter. In terms of the actual rollout as I said we have four major work streams, contracting and center conversion being two of them. We feel we are fully on track and proceeding as planned, which is why we affirmed guidance for the year, but we're meeting with good success in the initial rollouts which have begun in earnest and we have a high degree of confidence that we can keep that pace through the year, but that's contemplated in our initial guidance.
Anthony Petrone: Helpful and then follow up would be just, you also referenced the expectations for positive contracting with additional customers going forward maybe just a little bit of color there? And then maybe just a high level update on the restructuring initiatives, where is the company in terms of pretax savings today, and what is the expectation for the annualized pretax savings amount exiting fiscal ’19? Thanks again.
Christopher Simon: Okay, thank you. I'll take the first part and let Bill answer the second regarding restructuring. In terms of the dialogue that we have going on, we talked in the prepared remarks about the customer experience programs continue to be quite positive for the reasons mentioned. It really gives folks the chance at the conversions, at the collection center floor to experience the new device and its value proposition firsthand, and that’s really helped us, it's helped us move quickly when we get signed contracts to move to installation. So again, all very positive and I think the device is performing as expected and that's what's reflected in the dialogues that we're having.
William Burke: Anthony, its Bill. On restructuring question, so for fiscal ’19 we are right on track where we thought we would be at this time. We're still affirming that by the end of fiscal ‘19 we will be at a run rate in excess of $80 million and by the end of fiscal 20 we will be at a run rate to hit the $80 million. Oh sorry, 40 this year Anthony, I guess I said the wrong number there. By quarter Anthony we’re not going to disclose exactly where we’re on the savings, we're just on plan what I said in the past was we'll see a little bit more of the savings in the second half of the year obviously than in the first half.
Anthony Petrone: Thanks again.
Operator: Thank you and our next question comes from David Lewis of Morgan Stanley. Your line is now open.
David Lewis: Good morning. Chris, just a few questions here. The first is it's not clear in the release, so how many customers are actively rolling out or how many customers will roll out the NexSys system or are under contract to roll out the NexSys system and how are those contracted terms relative to your expectations?
Christopher Simon: So David thanks for the question. We're not going to talk for customer confidentiality and for competitiveness about individual customers and the specifics therein. We had several. We're in negotiations and discussions with many others as well. And the actual contracts themselves, I think we and our customers feel really good about these long-term agreements that we've entered into. They are reflective of the value of NexSys PCS and interestingly, increasingly NexLynk our DMS software as well. As you'll recall, we originally designed NexSys PCS to be agnostic of the DMS software for good reason. However, the first wave of customers experience is that by upgrading their DMS as part of this they're really able to achieve the full benefit of the NexSys platform value proposition. And the contracts we are writing are reflective of that.
David Lewis: Okay, so it sounds it is at least three customers that are rolling out the NexSys system under a new contract?
Christopher Simon: Again David, we’re not going to talk about specifics and specific numbers. We are fully on track and feeling quite good about wave one and what will come next.
David Lewis: Okay and then Bill, just thinking about guidance, I know you've gone through this in a fair amount of detail, but North American Plasma 17% this quarter, you're guiding to 10 to 14 and you obviously have some new customer wins, so there was no pricing obviously in the first quarter. So effectively, just kind of reading into lines, your guidance for the back half of the year has to assume that the North American Plasma disposable business basically grows below market, do you have any reason to believe that that business would grow below market?
William Burke: We don't, but Chris referred to it earlier, actually we did have that customer order timing in Q1 which drove the 17% growth rate which is above the 10% to 14%. So if that if the total amount of that volume is consumed then we probably would expect a higher rate. We just wanted to wait one quarter as the data point is enough for us to change guidance at this point, but we're feeling pretty comfortable.
David Lewis: Okay and though just thinking of margins next few quarters here, it is kind of same similar question you've got, some depreciation headwinds as you - I just say rollout costs associated with NexSys, but you've also got the underlying expansion plans in a solid first quarter. So how should we think about the next three quarters looking historically, second and third quarter margins ticked up 100 basis points something like that before pretty significant sort of reinvestment in the fourth quarter. Is there any reason to believe by the next three quarters at least on a relative basis, should they be playing out generally the same way we’ve seen in the last three quarters the prior two years or are there reasons based on spending and this obviously unique rollout where the margin performance is going to look a lot different the next three quarters relative to the first quarter? Thanks so much.
William Burke: Yes, thanks David. I don't expect us to have that much variability in the operating margin. Obviously as we move through the year with the pricing benefits that we received from NexSys, we should see some uptick in margin as that dropped through, but again offsetting that is this significant investments that we are making in terms of the rollout and the other investments in the hospital business for example. So overall I would expect margins to be a little choppy, but not that far off of where we are today.
David Lewis: All right, thanks so much.
Operator: Thank you. [Operator Instructions] And our next question comes from Jim Sidoti of Sidoti and Company. Your line is now open.
Jim Sidoti: Good morning. Can you hear me?
William Burke: Yes, sir.
Jim Sidoti: Great, great. First question on interest expense, with the new line, with the new financing that you’ve just put in place and the interest rates that you talked about on the call, it seems like it might tick up a little, it's been running around $2 million a quarter, do you think it will be closer to $2.5 million going forward?
William Burke: The interest, so we said our affective rate is 3.625 and you can see the balance that we have outstanding Jim, so it will be higher in the last five months of the year than it was in the first quarter on average by quarter.
Jim Sidoti: Okay, can you give us any – it looks to me it is somewhere between $2.5 million and $3 million a quarter is that about right?
William Burke: It will be a little bit over $3 million.
Jim Sidoti: Little bit over 3, okay. All right, and second question on the PCS2 is there any market for those devices once you bring them back?
Christopher Simon: There is Jim. I mean we are actively looking outside of the U.S. typically we sell the device, it's not priced like it is in North America, so there's certainly an opportunity there. There are restrictions in terms of products that have been used in other markets and what we have to do to be able to certify and then later repurposed them, but we're actively exploring that and we're exploring that on a global basis including markets that don't represent a sizable base for us today but could potentially be attractive collection markets going forward. So we're cautiously optimistic that those devices will find uses down the road, but remember we're talking about a number in excess of 20,000 devices in total for the NexSys conversion.
Jim Sidoti: All right, thank you.
Operator: Thank you and our next question comes from Larry Keusch of Raymond James. Your line is now open.
Larry Keusch: Good morning everyone. Just first question, could you talk a little bit about the second device manufacturer that you referenced in the call and is that coming on in parallel or is it an issue that your first manufacturer is going to hit its capacity, just maybe just talk through sort of how you're thinking about that one?
Christopher Simon: Yes, I think that's an appropriate conservatism on our behalf. We are moving quickly to meet demand and we want to make sure that we have the full capacity necessary to do that. So it will be in parallel with our longstanding initial device supplier and I think it gives us redundancy, it gives us flexibility and it gives us the ability to meet demand in the short term as we ramp. I think probably the biggest challenge that we face there is our secondary supply chain and having two highly qualified device manufactures driving assembly is really helpful because they have connections into that secondary supply market and are able to prevent challenges as they occur.
Larry Keusch: Okay, perfect and then two perhaps for Bill. Just on - you mentioned the tariffs obviously, so could you just spend a moment on the exposure there and sort of what's contemplated currently in the guidance? I recognize this is fairly dynamic, but any thoughts there would be great? And then lastly, just given all the order timing and the various parts of the business, I just didn’t recall if you actually quantified what that was worth in the first quarter?
Christopher Simon: Okay so first on the order time, I'll take that first. We didn't quantify what it was in the quarter. We just, North America Plasma specifically that 17% growth rate we think its within the guidance range if we take the timing out.
Larry Keusch: Okay.
Christopher Simon: And on the tariffs?
William Burke: Obviously it's a very fluid situation. We look at it closely. Right now we have an understanding of what the product codes are that would have some type of tariff impact on them. It is something we're dealing with and we think we'll be able to cover within the business just because it's not a very material item to us at all, Larry.
Larry Keusch: Okay, perfect. Thanks very much.
William Burke: Okay.
Operator: Thank you and I'm showing no further questions at this time. I'd like to turn the call back over to Haemonetics for any closing remarks.
Christopher Simon: Again, thank you and thank you for dialing for our call. I hope what comes through on this is that the company is very much in launch mode, not only for NexSys which we're quite excited about, but also for TEG and the various line extensions that we're bringing to market, in addition to our complexity reduction that really drives us and is the force behind our accelerated growth projections. Thank you again for your questions today.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program and you may all disconnect. Everyone have a great day.